Operator: Good morning, and welcome to the Lindblad Expeditions, Inc. Fourth Quarter 2020 Financial Results Conference Call.  Please note, this event is being recorded.  I would now like to turn the conference over to Craig Felenstein, Chief Financial Officer. Please go ahead.
Craig Felenstein: Thank you, Kate. Good morning, everyone, and thank you for joining us for Lindblad's 2020 Fourth Quarter and Full Year Earnings call. With me on the call today is Sven Lindblad, our Founder and Chief Executive Officer. Sven will begin his opening comments, and then I will follow with some details on our financial results and liquidity before we open the call for Q&A. You can find our latest earnings release in the Investor Relations section of our website, along with the presentation regarding the acquisitions that we announced this morning.
Sven Lindblad: Thanks, Craig, and good morning to everybody. Appreciate you joining us today. While preparing for this review for 2020 and my thoughts on the future, I looked back at my comments from a year ago on our 2019 year-end call. I couldn't have been more wrong as it related to expectations regarding the effects of COVID-19. This turned out to be very different than SARS, 9/11, the 2008-2009 economic crash and really anything else, I or you have ever experienced. This is now an event that has shutdown our and most other travel businesses globally for a year. And while we are optimistic that we will be selling again soon, exactly when that will be is still not certain. No one in our lifetime has experienced such a long-lasting business interruption outside of war. As Charles Darwin suggested in the seminal book, The Origin of Species. It is not the most intellectual who'd survives, it is not the strongest that survives, but the species which survives is the one that is able best to adapt and adjust to the changing environment in which it lives. In Lindblad Expeditions, we are indeed adaptable. And the entire organization is very much focused on how not to let this crisis go to waste. We have done it before over our last 40 years, and we are determined to come out of this pandemic, a strong and vibrant company who are here once again to take our guests to the world's most remarkable destinations. So what have we done that ensures that this will be the case. First and foremost, we short up our capital position. Craig will discuss this further, but it started immediately upon shutting down our operations last March and is still a focus point today. We have been inordinately successful at cutting costs across all facets of the company without destroying the fabric that aimed at. We also were opportunistic with regards to raising additional capital externally. In August, we added $85 million through a preferred stock offering. And in December, we added an additional $85 million of low interest funds by the Main Street Lending Program.
Craig Felenstein: Thanks, Sven. Before I begin, let me once again thank our dedicated crew across the world as well as our diligent office personnel for the resiliency during this uncertain period and for their commitment in preparing us to return to operations while preserving capital wherever possible. It has been nearly a year since we closed our operations, and we continue to execute on the comprehensive plan we put in place back in March of last year to fortify our liquidity position. This was and remains an imperative for 2 reasons. First, given the uncertainty around when operations resume and how quickly they will ramp back to normal levels, we want to ensure we emerge from the COVID pandemic as the same strong and vibrant company we were prior to the cessation of operations. With expanded capacity and the ability to capitalize on the growing demand for expedition travel. Second, there'll be a strong liquidity runway allows us to be opportunistic with regards to additional growth drivers, both organically and through targeted acquisitions. As a result of the proactive steps we took this past year, we ended 2020 with $188 million in unrestricted cash and $17 million in restricted cash related primarily to deposits on voyages that originate in the United States, a $95 million increase over where we ended 2019. We previously discussed the reduction of our cash burn, which I will highlight for Q4 in a moment as well as the $85 million we raised in August through the issuance of redeemable preferred stock to a diversified group of high-quality, long-term focused investors. This past quarter, we further enhanced our liquidity position with the issuance of $85 million under the Main Street Expanded Loan Facility program. This loan, which has a 5-year tenure and carries an interest rate of LIBOR plus 3% and has solidified that when we emerge from this pandemic later this year, we will do so as a strong company poised to regain the momentum we had prior to the virus. It also provided us additional financial flexibility to look for opportunities to augment our long-term growth profile. And as you have seen, we did just that with our recent acquisitions of DuVine and Off the Beaten Path. Sven has walked you through the strategic rationale of each, so let me lay out the financial parameters. Combined, the total acquisition price was approximately $10.5 million, comprised of $8.7 million in cash and $1.8 million of Lindblad stock. While not yet material to our current earnings, as Sven mentioned, we do believe there is a significant opportunity to grow these businesses given their strong brands and attractive addressable markets, combined with our marketing platform, expertise and resources. Plus we have a blueprint, having grown Natural Habitat from $3.9 million in EBITDA in 2016, the year we acquired them to over $8.6 million in 2019. We also think this is just the beginning, and we will look to continue to be opportunistic on both the M&A and organic growth front. Turning to our operations. During the fourth quarter, all of our ships remain safely weight out with the minimally required crew, and we continue to minimize ship and land-based expedition operating and capital costs. We did spend a little over $1 million on maintenance CapEx this past quarter, primarily due to dry docks for the Explorer and Endeavour II, as we prepare to resume sailing. For the full year 2020, we managed to reduce maintenance CapEx by over 70% versus our original budget for the year. On the advertising and marketing front, we suspended the majority of our spend during the fourth quarter, focusing primarily on digital opportunities and paid media that was generating appropriate returns with regards to future bookings. And we continue to minimize general and administrative spending through employee furloughs, workload reductions and elimination of all nonessential travel, office expenses and discretionary spending. Looking at the P&L, the measures we have taken enabled us to reduce total operating expenses before depreciation and amortization, interest factors by 70% during the fourth quarter versus the same quarter a year ago. On the cash front, we lowered our cash spend this past quarter to $26 million, which included approximately $18 million in operating costs, $5 million in principal and interest payments and $3 million in Capex. The cash usage was partially offset by the positive net cash flow from guests as payments for future travel exceeded guest refunds on rescheduled voyages. On the voyages canceled and rescheduled thus far, which primarily includes expeditions through the end of May, the majority of our guests continue to opt for future travel credits as opposed to full refunds. And as I mentioned last call, our refund exposure is significantly lower moving forward as the majority of our unearned revenue is for travel where the guests have already decided on their future travel plans. Turning to current booking trends. Demand for travel continues to be very strong, and we are well situated for once we return to operations later this year as well as for 2022. The bookings for the back half of 2021 are currently in line with where they were for the second half of 2022 a year ago. And when you look ahead to next year, we are currently 37% ahead of where we were for 2021 at the same time a year ago. The strong year-on-year trends reflect guest -- do reflect guests on cancel voyages that have opted to reschedule, but they only make up about 1/4 of our bookings for the remainder of this year and 16% for 2022. We are also seeing strong new bookings from both returning guests as well as new audiences. And we have only just begun to market in earnest, focusing on digital targeting and social opportunities as well as increased outreach through trade advertising and travel advisers. Based on the feedback we are getting from guests, we believe that there is significant pent-up demand to get out and explore the world's amazing geographies, and these efforts will secure additional bookings for this year as well as next. As we work towards resuming operations, we estimate that our cash usage will return to $10 million to $15 million monthly on average, including all ship and office operating expenses, necessary capital expenditures and expected interest and principal payments but excluding any new guest payments for future travel and refunds of previously made guest payments. This includes the ramp in marketing spend I just referred to, spending on our digital transformation project and bringing back furloughed employees as necessary to prepare for a resumption in operations. Looking at our debt obligations. We ended the year with $496 million in principal outstanding, an increase of $266 million from the end of 2019. This reflects the incremental $85 million Main Street Loan during the fourth quarter as well as the drawdown of $45 million under our revolver earlier in the year. During the year, we also borrowed $108 million in conjunction with our final payment upon delivery of the National Geographic Endurance in March and an additional $30.5 million for the third installment payment for the National Geographic Resolution in April. With regards to our leverage covenants, the company has worked with its lenders to amend its existing credit agreements, including suspension of leverage ratio covenants through June 30, 2021. Turning to our expectations for 2021. Due to the uncertainties around COVID-19, we are not providing P&L guidance at this time. We will continue to update our anticipated cash usage as circumstances evolve. Aside from our operational cash usage, we anticipate maintenance CapEx in the $15 million to $17 million range, which includes modification of ventilation systems across our fleet to increase fresh air flow and mitigate the spread of Contaminants. For growth CapEx, which includes costs for the resolution and spending on our digital projects is projected to be between $75 million and $80 million this year. This does not factor in any potential new ship builds that we continue to explore. The remaining contract installment payments on the resolution are fully covered by our second export credit agreement with $15 million scheduled to be drawn in April and $45 million drawn upon delivery of the ship, which is still anticipated to be towards the end of this year. Lastly, in 2021, we will also have approximately $10 million in principal payments, predominantly for payments under our export credit agreements. As we move close to resuming operations, the steps we have taken to reduce costs and increase our liquidity runway will enable us to emerge from this pandemic as a strong company ready to once again capitalize on the growing demand for expedition travel. At the same time, the strategic steps we are taking to expand and enhance our product platform will provide us further avenues to drive long-term growth and build additional shareholder value in the years to come. Thank you for your time this morning. And now Sven and I will be happy to answer any questions you may have.
Operator:  Our first question comes from Steve Wieczynski of Stifel.
Steve Wieczynski: So, Sven, I want to be sure that I heard you right, but it sounds like you fully expect to be operational now in June and at some capacity level, and that's -- it sounds like a focus around Alaska. And I think that's pretty important, given the -- obviously, the bigger cruise operators are essentially going to be restricted from that market this year. So I guess the question is, I assume that demand for that type of product is -- has to be extremely, extremely strong. And I guess, are there any issues with getting your passengers into position to actually get to Alaska, and hopefully, that all makes sense.
Sven Lindblad: Yes. No, I do not believe there is an issue with getting our passengers or guests to Alaska at all. We have a very deep relationship with Alaska Airlines, which has been cultivated over many decades actually. And we're in constant conversation with them about how the landscape is changing, when we're anticipating starting, et cetera, et cetera. As I think I've mentioned before as well, we've had a team in place since the very beginning of the pandemic or starting in April of last year where -- whose charge is to really constantly emulate new information in terms of opportunities related to protocols, vaccines, et cetera. And so that's been a very dynamic aspect of our business, and we talk about it, literally every day in our management meetings. Where are we? What have we learned? Is this a -- does it change the landscape at all? And we believe everything is moving in a very, very positive direction. Certainly, in terms of people getting vaccinated, which is a total game changer. And we believe that, certainly, by the end of June, pretty much everybody in the United States, who wants to be vaccinated would have had the opportunity that -- and certainly most people in our demographic by the end of May will have been given the opportunity vaccinated. So this is a big, big deal in terms of getting the world moving again in relationship to travel.
Steve Wieczynski: Okay. Got you. And then second question would be really a bigger picture question of just about competition. And obviously, there's a lot of competition these days for markets like an Arctic, the Galápagos, where it seems like every operator is trying to move some type of asset into those markets. So I guess the question is, what keeps you guys at this point in such a good position? I mean, is it something that your assets at this point can go to places where other competitors can't go? Is it the length of service of your captains? Or how would you position yourselves? Or what do you tell folks in terms of the way you market yourselves as to why you should take a Lindblad product versus somebody else's?
Sven Lindblad: Yes. Well, just using Galápagos, as an example, the amount of new entrants really isn't changing. There are a certain number of these licenses. They're called cupos. And what they do is they occasionally change hands from one company to another. But the maximum number of people nor the number of us coupes hasn't changed in many, many, many years. So unlike Antarctica, where anyone who wants to go down there can basically do that. That's not true in the Galápagos. And in -- but in Antarctica, certainly, Norden number of ships have been built and are continuing to be built. And they are focusing on these polar areas for a variety of reasons. And so it is going to become certainly more competitive, but there's also -- it's happening because there's clearly they find growing interest in the geography. I believe that our leg forward, if you will, is we are the pioneers of these -- of most regions of the world, actually, but certainly, Antarctica. My father began in his company brings people to Antarctica in 1966. And so there's a legacy factor that has been built into a trust factor that I believe is meaningful. We put tremendous priority into the quality of our marine teams because I don't care what anybody says Antarctica does pose unusual circumstances that can become threatening to people who are not incredibly well trained. So our captains have been down Antarctica over 100 times. And they know the area backwards and forwards and our expedition leaders and the officers on the bridge they're just extremely knowledgeable. And we talked about that a lot because we believe if it's not important to people, it should be. And it's a very distinguishing factor. I don't believe anybody else has the depth and experience. The depths of personnel and the depth of respect for that geography, and in fact, every geography, but that one happens to be one where you need to a bit more respect than a lot of others because it can hurt you if you don't.
Operator: The next question is from Chris Woronka of Deutsche Bank.
Chris Woronka: Wanted to ask -- again, you sound pretty confident that you'll be able to get back in a couple of months. How do you say some of the change in protocols that you're going to be required to do in all various vaccinations. How have those kind of changed and evolved over the past couple of months? And are you pretty certain at this point that the goalposts don't move again at the last minute?
Sven Lindblad: Yes. I don't believe that those goalposts will move in a negative way. We've been so deeply in turn or engaged with people, not only from the CDC, but from State of Washington, the medical community there -- I can't never hear title right now, but the Director of Health in Alaska. And we knew that various requirements were going to be developed even before they were. And we were really on top of those and began constructing our protocols around what we anticipated it was coming. And so I do believe that our protocols are the strongest in the industry, the strongest in the industry. And I believe the authorities recognize that. And in certain instances, they've looked at our approach to this as a potential blueprint to what they might require industry-wide. I don't want to be specific about the institutions right now, but it's absolutely the case. And -- so we feel really buttoned up as it relates to protocols.  We've made changes on our ships -- physical changes on our ships as it relates to ventilation systems where necessary. I mean we've really put in the hard work to make ourselves almost impossible to reject going forward.
Craig Felenstein: Chris, it's Craig. One of the other things that I'll mention is some of the requirements have certainly changed over time. And the steps that I've taken previously, will make it easier to deal with those moving forward, especially because some of the things that we're going to have to do will be less relevant. So for example, when we first started looking at getting back into operations, one of the things that we spent a fair amount of time on was charter flights for the various destinations that we serve. With the advent of the vaccinations, those charter flights, many of them will not be necessary.  So the cost components of those certainly go way down. We've also secured the testing requirements, the testing capabilities have already been solidified for us. So we already have the capabilities of doing that, how much we have to do that and how often remains to be seen. But we already have the capabilities to do that. So I think a lot of the investment that we needed to make has already been done. And if anything, moving forward, it will be less restrictive than we originally anticipated.
Chris Woronka: Okay. Very helpful. And then on the acquisitions you announced this morning, both look pretty interesting. Question is, as you look forward, I mean, I guess how broadly can you cast the net? And then from a more of a financial point of view, how do you underwrite these in terms of -- is it a value -- potential value of a customer that you might acquire? Or is it something else in terms of making these businesses not just more profitable bottom line but growing their top line? Is it difficult for us to just get a better understanding of how you underwrite some of the smaller companies that you see?
Sven Lindblad: Yes. And then Craig, my weigh in as well. But here's the basis of it. Our travelers, and we've known that for a long time, are very -- they're very -- I'm numerous in their interest. So you might run into somebody in Antarctica in 1 year, the next year, they'll be on a safari in Africa, the following year, they want to travel around the Southern France or whatever. And at the end of the day, if we create a family of companies that can provide interesting opportunities in their -- in the areas of their diverse interest. Like for example, if you have a family that one day came with us -- grandmother organized 3 generation -- they came to Antarctica. That's a very extravagant decision. And they may not do that type thing again. For many, many years, but they'll do other things because they're kind of committed to doing things as a family. So the more we can offer them, the more we can keep them and their family, so to speak. And the cost of acquiring a new guest drops dramatically once they've had a positive experience. And so this notion of keeping them in the family to us is a big deal. It's very, very cost effective. It's been proven with -- I have -- I mean, a cross-marketing between ourselves and Nat Hab has just grown exponentially year after year after year. And it's become really meaningful for both organizations. And it keeps them -- if we're smart enough in creating a broad enough platform, which we're absolutely committed to do, it keeps them from going or needing to go elsewhere. And there are so many benefits as a consequence with that.
Craig Felenstein: Yes. I'll add on top of that, in. Aside from the capturing a greater share of wallet from the existing travelers, you're also going to be able to help them to increase their lows, right? So these are very strong businesses and very strong brands that were built by some very strong founders and what we bring to the table is we bring in operating expertise that we've been doing for many, many years, even before we acquired Natural Habitat, but now including Natural Habitat. And if you could increase the occupancy across all of these opportunities, you'll certainly be able to ramp revenue relatively quickly.  You look at what happened with Natural Habitat having gone from $45 million of revenue back in 2016 to supposed to have been well over $80 million of revenue in 2020. It's a pretty fast ramp, and that was done partially by cross promotion, partially by adding additional marketing leverage, partially by adding increased occupancy. So we think there's a unique opportunity across both of these assets moving forward.
Operator: The next question is from Greg Pendy of Sidoti.
Greg Pendy: Yes. Just a quick question. In light of the digital marketing hire, I believe pre-COVID, you guys made a -- had a step-up year in your marketing efforts. And if I'm correct on that, just, I guess, it sounds to me like you might be moving more in the digital direction. Is that the case? And kind of what is the net run rate when things normalize, that we should be thinking about, if that's correct?
Sven Lindblad: I'm not sure how I answer the net run rate part of the question. So it's...
Greg Pendy: Yes. I was just curious, is there going to be savings as you move more dollar -- if you're moving more dollars towards digital advertising, is this a potential savings effort from -- or is it just a better return on what you're seeing out there that more dollars moving into digital advertising is just giving you a better return?
Craig Felenstein: Yes. Let me take that, and you can jam in afterwards. So the question is an interesting one because you're not comparing apples-to-apples, right? So you can vent to where we are today versus where we were pre pandemic, the amount of inventory that we have across our ecosystem has gone up dramatically. We've increased the number of beds, we've increased the number of high-priced beds. So the notion of reducing marketing is probably not at the forefront of what we're trying to accomplish here, especially given the explosion that we're seeing in the space. We want to be able to capitalize on the explosion of the space. But what we will be able to do because of this digital transformation is we can be much more efficient with that spend. So we'll be able to target folks with regards to the marketing materials that they're receiving in a much more focused manner. Which will allow us to have a higher return on the marketing dollars that we're spending.  And we can also be a lot more flexible. It's a lot easier to turn this bigot on or off when you're looking at digital spend than versus when you send a hardcore brochure. So it's going to be a marriage of the old and the new as we move forward, and we'll be much more efficient as we move forward, and we can certainly tweak that up or down based off the returns that we're getting as we're spending.
Greg Pendy: Great. That's helpful. And then just one final one. As things return normalize and you start to ramp back efforts in June, is there any relief you'll see on dry docking as the ships have been stationed? Or is that just still kind of in place on a top -- goes over every 3 years or so?
Sven Lindblad: No, there won't be any meaningful difference in terms of dry docking. Some of those dry docks are regulatory. You have to do them every -- it depends which ship is in and which flag and that won't change. There's certain work we just delayed at the moment as a consequence of the pandemic that we'll do in the future that we had originally planned to do but no material change.
Operator:  The next question is from Swan Lawrence of Undervalued Shares.
Swan Lawrence: So Sven and Craig, you've spoken a lot about building a platform, and you just announced these 2 acquisitions, neither one of which is a cruise ship company. So this is maybe more a question for Sven. So if you looked out 10 years into the future, would you still see Lindbald Expedition as primarily a cruise ship company? Or would you see something more like a broader travel company specialized in nature and exploration experiences?
Sven Lindblad: I think the latter because I think well, we still -- by the way, Swan, nice to hear your voice. It's been long time. Yes. In any case, the expedition ship aspect of the business, I believe, will absolutely be dominant in our entire mix. I see no change to that. But we will but we will have added a considerable amount of other opportunities because what we really believe we should be doing and are on the path to do, is to be a diversified sort of adventure, experiential travel company. And there are lots of different ways in which people travel. And I think, applying our ethos to that. And then particularly working with -- which is the aspect of this, which I find the most interesting. Founders of companies travel companies are a special breed of people. They have deep passion, deep commitment to what they're doing. And so they are tremendous resources. And what they -- you need to have great ideas. You need to have the right capital structure and you need to have the right ability to attack market what you have. And very few of these have all of those things. Almost all of them have the first, the ability to create compelling ideas. Most of them don't necessarily have a deep financial structure and marketing is elusive to some degree because it's become a very sophisticated idea. How do you market in today's world. It's a -- and the advantage that we have is we built a marketing platform, and they're constantly building and augmenting our marketing platform built for garnering a 30,000-plus and growing rapidly ship tenders. And so we can apply a lot of that technology to these companies and give them something that they've never really had before rather than having to build everything from scratch all the time, which is what these companies have to do. They have to build all of those systems from scratch, which is limiting when you're a small company. So I really look forward to this opportunity to work with entrepreneurs to work with founders to recognize and appreciate the extraordinary creations they have developed. And to augment those efforts with some practical structural needs in such a way to make them more -- far more productive and far more profitable. We had considered at one point that we want to build the land business for it -- we call -- referable -- branded ourselves because we were prior to 9/11 deeply involved in the land business. But what we did after 9/11, we decided to focus purely on our ships and to really focus on where we had fixed commitments. And that turned out to be a very good idea. Focus is a really meaningful idea when it comes to building travel businesses. And so we decided, no, we were not going to go back and build these ideas ourselves. We are going to develop them through the acquisition of competent enabled companies. And so now we have 3 of them. And we are looking very, very closely at where are the next opportunities in this regard.
Swan Lawrence: That makes a lot of sense. And if I can just ask one follow-up question, please. Obviously, your platform and your marketing depends a lot on the National Geographic link that you have, which is an amazing link. And there's always that looming date of that partnership expiring the next time in 2025. I obviously appreciate you can't look that far into the future. But is there something you can do or you could say, to alleviate anyone's worries about that coming up for renewal in 4 short years?
Sven Lindblad: Yes. I mean, we -- this is a very mutually productive relationship that has now gone on for upwards of 16 years. And so we feel very confident that we will continue beyond 2025. Because it will be in our interest and it will be in their interest. And so I just don't see -- it's a deep, deep, long standing relationship, but I don't see any reason why it shouldn't continue.
Operator: This concludes our question-and-answer session. I would like to turn the conference over to Craig Felenstein for closing remarks.
Craig Felenstein: Thank you, everybody, for joining us this morning. And we look forward to speaking over the next couple of days about the full year, the fourth quarter and the acquisitions that we just completed. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.